Operator: Good morning and welcome to the Lexington Realty Trust Third Quarter 2013 Earnings Conference Call. At this time all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. Today’s conference is being recorded. It is now my pleasure to turn the floor over to your host Gabby Reyes, Investor Relations for Lexington Realty Trust. Please go ahead, ma’am.
Gabriela Reyes: Hi, and welcome to the Lexington Reality Trust third quarter conference call. The earnings press release was distributed over the wire this morning and the release and supplemental disclosure package will be furnished on a Form 8-K. In the press release and supplemental disclosure package, Lexington has reconciled all historical non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. If you did not receive a copy, these documents are available on Lexington’s website at www.lxp.com in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in the same section. At this time, we’d like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although Lexington believes expectations reflected in any forward-looking statements are based on reasonable assumptions, Lexington can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time-to-time in Lexington’s filings with the SEC and includes the successful confirmation of any of liens, acquisition, build-to-suit financing or other transactions or the final terms of any such transaction. Lexington does not undertake a duty to update any forward-looking statements. Joining me today from management are Will Eglin, Chief Executive Officer; Robert Roskind, Chairman; Rick Rouse, Chief Investment Officer; Patrick Carroll, Chief Financial Officer, and other members of management.
T. Wilson Eglin: Thanks, Gabby, and welcome, everyone, and thank you for joining the call today. As always, I’d like to begin by discussing our operating results and accomplishments for the quarter. For the third quarter, our company funds from operations as adjusted were $0.25 per share, and we continue to maintain high levels of occupancy, strong flexible balance sheet, and build our investment pipeline. Subsequent to quarter end, we deployed substantial capital into new investments that we believe have created additional earnings momentum and this has led to a more positive outlook for the fourth quarter of 2013 and for the following years than we had previously expected. The quarter was characterized by leasing activity of 2.7 million square feet of new and renewal leases signed, leading to an overall portfolio occupancy rate of approximately 98.1% at quarter end. We were pleased that cash rents increased by 4.3% on the renewed leases. In addition while we had solid execution on the investment front with a total of $46.5 million invested in current build-to-suit projects and other investments and place one build-to-suit project under contract for commitment of $98.6 million during the third quarter. The sharp increase in interest rates that began in the second quarter slowed the transaction environment considerably. More recently, a stable and lower interest rate environment has led to more active investment activity. And so far in the fourth quarter, we have purchased $346.2 million of new properties and invested another $35.4 million in new loan investments. Overall, we have funded investments this year totaling $572.2 million compared to our prior guidance of $350 million to $400 million, with this year’s activity consisting of $432.6 million in purchases of existing lease properties and through sale leaseback transactions, $83.2 million in build-to-suit fundings and $56.4 million in loan investments. Although much of the volume is occurring later in the year than we had anticipated when the year began. The initial average yield on these investments are approximately 6.1% and 12% on a GAAP basis. We’re building our pipeline for 2014 and 2015, and believe build-to-suit fundings will total at least $120 million in 2014, based on current transaction activity. And we believe we have an additional $300 million to $350 million of good prospects that we are working on. We also made further progress on capital recycling, trimming $22.4 million more of non-core assets from the portfolio, bringing our total for the year to $120.5 million. We continue to be focused on sales as a means to upgrade the quality of our portfolio and limit our need for equity to fund investment activity. Looking ahead, we currently have 3.6 million square feet of space, subject to leases that expire through 2014 are which are currently vacant. We believe that through the end of next year, we can address 1.6 million to 2 million square feet of such expiring or vacant square footage through extensions and dispositions, and we expect to incur $0.10 to $0.15 per share and leasing related expenditures in 2014. As a result of our leasing activity and new investments at quarter end, we generated 28.5% of our revenue from leases of 10 years or longer compared to approximately 9.6% a year ago. Over time, our goal continues to be to derive at least half of our revenue from leases 10 years or longer providing additional cash flow visibility. Further, our single tenant lease rollover through 2018 has been reduced to 39.9% of revenue from 50.5% at quarter end a year ago. And we no longer have concentrated risk of lease rollover in any one year. By any measure, we believe we’re making good progress in managing down our shorter-term leases and extending our weighted average lease term, which was 7.5 years at quarter end compared to 6.6 years last year and is now approximately 11 years. Each of these metrics is an important measure of cash flow stability, and we will continue to focus on further improvement. Supplementing our leasing and capital market success, we continue to add value to accretive acquisitions and properties subject to long-term net leases. Our recent activities include a substantial land purchase subject to long-term leases in New York City, a built-to-suit headquarters for an over 900 attorney law firm in Richmond, Virginia and a first-mortgage loan investment on a newly constructed hospital subject to a 30-year net lease in Kennewick, Washington. These investments have initial yields of 4.93% to 8.75% and our indicative of our portfolio approach to balancing single-tenant investments with strong cash flows during the lease term and less certain prospects for capital appreciation thereafter with others such as the New York City land purchase, which may have lower initial yields, but have a compelling total return when residual value and rent growth are taken into consideration. Currently, we have five build-to-suit projects underway, and one forward purchase contract for a total investment of $236.3 million of which $60 million has been funded through September 30, 2013. The property investments underlying these six projects have an initial yield of 8% and a GAAP yield of 9.5% and our supplemental reporting package continues an estimated funding schedule for these projects. The addition to our portfolio of long-term leases with escalating rents continues to be a priority for us in order to further strengthen our cash flows, extend our weighted average lease term, reduce the average age of our portfolio, and support our dividend growth objectives while maintaining a conservative payout ratio as most recently evidenced by a 10% increase in our common share dividend announced last month. We believe that our increased investment activity in 2013 will contribute meaningfully to our company funds from operations in 2014 and beyond, and help offset our exposure to declining rents on suburban office properties. The opportunities we are currently working on are supported by long-term net leases at going in cap rates of between 6.8% to 7.8%, typically with annual escalations of 2% to 2.5%. Asset recycling has helped upgrade the quality and composition of our portfolio and it continues to generate proceeds for accretive acquisitions and debt repayments. We continue to look at opportunities to recycle capital with a focus on capturing the value of our multi-tenant and retail properties and reducing our exposure to the office sector. In 2014, we will continue to look at capital recycling opportunities as part of the ongoing effort to further transform our portfolio with a greater emphasis on office dispositions. One of our objectives is to get better balance between office and industrial revenue in the part of our portfolio that has lease term shorter than ten years. Accordingly, we would expect single tenant office dispositions to total at least $75 million in 2014, and multi-tenant office sales could total roughly the same amount. The composition of our balance sheet has improved dramatically this year, and we have included details in our supplemental disclosure package on pages 38 and 39 showing our credit metrics. While our balance sheet activities were modest in the third quarter, in the fourth quarter, we entered into a non-binding term sheet with a life insurance company and locked rate on a $213.5 million mortgage financing to be secured by our New York City land purchase. This financing is expected to be for 13 years and bear interest at a fixed rate of 4.66%, which we believe will provide attractive long-term positive leverage. While those expected financing will temporarily increase our secured debt, our objective is to lower our secured debt to 20% or less than our gross assets. We expect to continue to retire mortgages as they mature and unencumbered assets with a goal of having about 65% to 70% of our assets unencumbered. We continue to believe that our company has substantial financial flexibility with $250 million of current availability under its lending facilities and this is expected to increase following the expected financing of our New York City land purchase. In the first nine months of the year, we reduced our debt by $60 million to about 38.7% of our gross asset value at quarter end compared to 44.4% a year ago. Our weighted average cost of debt has been reduced by 70 basis points to 4.8% this year and our weighted average maturity has increased to 6.4 years from 5.5 years. In addition at quarter end, $410 million of balloon mortgage payments are due through 2015 at a weighted average interest rate of 5.4%. We expect these maturities to be addressed through a combination of additional asset dispositions and refinancings, which provide a continuing opportunity to further lower our financing costs and unencumbered assets, which we expect will improve our cash flow, financial flexibility, and credit metrics. And while we continue to unencumbered assets from time-to-time, we may access the secured financing market when we believe it is advantageous to do so, particularly if financing of longer than 10 years, it’s available. It’s been an exceptional nine months for Lexington, where our successes so far outweighed our challenges. The main challenge has been our non-performing loan in Schaumburg, Illinois, which has cost us $2.9 million, or $1.5 per share in funds from operations during the nine months ended September 30, 2013. We have recently completed a foreclosure on this asset and now own this property, which is leased to Career Education Corporation through December 31, 2022. We expect this property to generate revenue of approximately $4.2 million in 2014, which we believe is a high yield based on our current basis of approximately $21.6 million and the obligation to fund an additional $9 million in tenant improvement costs. Now, I’ll turn the call over to Pat who will take you through our results in more detail.
Patrick Carroll: Thanks, Wil. During the quarter, Lexington had gross revenues of $97.9 million comprised primarily of lease rents and tenant reimbursements. The increase compared to the third quarter of 2012 of $13 million leased primarily to the acquisition of properties and build-to-suit projects coming online. The acquisition of NLS in the third quarter of 2012, with an increase in occupancy. In the quarter, GAAP rents were in excess of cash rents by approximately $5.9 million, including the effect of above and below market leases. For the nine months ended September 30, 2013, GAAP rents were in excess of cash rents by approximately $8.4 million. We have a few leases that have uneven schedule rent payments, whereby rent is paid annually and semiannually with larger payments being made in the first quarter compared with the remainder of the year. On page 40 of the supplement, we’ve included our estimates of both cash and GAAP rents for the remainder of 2013 through 2017 for leases in place at September 30, 2013. We’ve also included same-store NOI data and the weighted average lease term of our portfolio as of September 30, 2013 and 2012. Property operating expenses increased primarily due to the NLS acquisition plus increase use in occupancy in multi-tenant properties with a base year core structure. In the third quarter of 2013, we recorded $0.8 million of impairments of properties $2.1 million in gains on sales of properties and $2.9 million in net debt satisfaction charges relating to the conversion of our 6% notes, of which $2.3 million were non-cash charges required by GAAP. On page 36 of the supplement, we have disclosed selective income statement data for our consolidated, but non-wholly owned properties and our joint venture investments. We have also included net non-cash interest recognized in the nine months ended September 30, 2013, on page 37 of the supplement. For the nine months ended September 30, 2013, our interest coverage was approximately 3.2 times and net debt to EBITDA was approximately 5.7 times. As Wil mentioned early in 2011 and 2010, Lexington advanced money in their first mortgage loan secured by a property in Schaumburg, Illinois leased to Career Education Corporation through December 2022. Non-core [ph] interest at 15% and is scheduled to mature in January 2012, however, the borrow defaulted at maturity. Lexington ceased recognizing interest income on the loan effective April 1, 2012, and is currently owe $27.2 million under the loan including accrued interest. We have reserved $5.6 million against this balance, so from a GAAP standpoint $21.6 million as of September 30, 2013 balance sheet amount, and no earnings have been recognized since the first quarter of 2012. In the fourth quarter, we foreclosed on the underlying property. We now obligated to fund a tenant improvement allowance of approximately $9 million. The lease with the tenant is a net lease and provides effective January 1, 2014 for current annual base rent of approximately $4.2 million and annual GAAP rent of approximately $4.5 million. We will begin to recognize this as an operating property in the fourth quarter of 2013. Equity in earnings and joint ventures decreased by about $4.5 million primarily due to our acquisition of our partners’ interest in NLS in the third quarter of 2012, and the recognition by us of a $0.9 million impairment charge on one of our joint venture investments in which we have a 30% interest. Provision for income taxes increased $2.9 million due to the sale and transfers of assets from our taxable REIT subsidiary. Non-operating income increased $0.8 million primarily due to loan investments. Now, looking at the balance sheet, we believe our balance sheet is strong as we have continued to increase our financial flexibility and capacity. We had $111.4 million of cash at quarter end, including cash classified as restricted. Restricted cash balances relate to money primarily held with lenders as escrow deposits on mortgages. At quarter end, we had about $18 billion of consolidated debt outstanding, which had a weighted average interest rate of 4.8%, of which 96.3% is at fixed rates. We have entered into LIBOR plus on both the $255 million outstanding on our term loan which matures in 2019 and the $64 million outstanding on our term loan which matures in 2018. The current spread components of our 2019 term loan can range from 1.5% to 2.25% and it is currently more than three quarters, and on the 2018 term loan can range from 1.1% to 2.1% and is currently 1.35%. The significant components of other assets and liabilities are included on page 37 of the supplement. During the quarter ended September 30, 2013, we paid approximately $5 million in lease costs and approximately $2.4 million in tenant improvements. For the remainder of 2013, we project expected tenant improvement of lease costs to be approximately $8.7 million, or $0.04 per share. This would bring our total occupancy related expenditures to $49.2 million for the year. We expect these expenditures to decline considerably next year through the early extension of post 2013 lease maturities and occupancy gains in 2013. So then on pages 27 through 32 of the supplement, we disclosed the details of all consolidated mortgages maturing through 2017. We’ve also included on page 15 of the supplement, the funding projections for our five current built-to-suit projects and our one forward equity commitment. Now, I’ll turn the call back over to Wil.
T. Wilson Eglin: Thanks, Pat. In summary, we had another strong quarter. Occupancy has continued to strengthen and we believe if we’ve made further progress addressing leases expiring in 2014 and 2015. While we increase the interest rates in the second quarter moderated third quarter transaction activity as buyers and sellers adjusted to higher financing costs, we believe our acquisition pipeline continues to be promising, and we have recently capitalized an opportunities that we believe we’ll improve our growth in company funds from operations per share. We believe Lexington with its access to multiple sources of capital on available capacity is well-positioned to act on opportunities as they arise. And we expect to continue to first execute proactively on leasing opportunities in order to maintain high levels of occupancy and address lease lower risk. Second, realized values on non-core properties and certain fully-valued properties with a bias toward producing our suburban office exposure. Third, capitalize on refinancing opportunities and four, invest in build-to-suit properties and other accretive single-tenant investment opportunities. Today, we have firm guidance for 2013, company funds from operations as adjusted within the range of $1.1 to $1.4 per share reflecting 3% to 6% growth compared to 2012, and with a less leverage balance sheet than we have in the year began. Our guidance includes the diluted share count of roughly $240 million, which includes the recent 11.5 million share common offering and also includes 4.2 million shares underlying our 6% convertible guarantee notes. We believe the Company remains well-positioned with an interactive dividend yield and conservative payout ratio and the opportunity to continue to execute strategies, which improve our cash flow, upgrade the quality of our portfolio and provide ongoing value creation for shareholders. Operator, I have no further comments at this time. So, we’re ready for you to conduct the question and answer portion of the call.
Operator: Thank you. (Operator Instructions) And our first question will come from Craig Mailman from KeyBanc Capital Markets.
Craig Mailman – KeyBanc Capital Markets, Inc.: Good morning guys. Well I just want to start-up by asking about the build-to-suit enrichment, kind of what gets you comfortable there with only 78% occupancy then the developer kind of the two year lease and getting ups if they are able to back-fill it?
T. Wilson Eglin: Well, I think first we think the building is very attractive and we believe very strongly that they will be able to fill that space and we’re essentially get to that than buy that space in a very high cap rate. And we’re the master lease we’ve two years of solid occupancy reflected and going in cap rate of about 8%, which we think is very attractive. So, I’m not saying there isn’t a little bit of risk there, but for us we talk to the yield that was a good opportunity.
Craig Mailman – KeyBanc Capital Markets, Inc.: So you guys don’t view this as much as the sort of the multi-tenant building year-over-year it start mainly single-tenant with a little bit of lease-up for us. I mean, just trying to engage again…
T. Wilson Eglin: 100% leased building.
Craig Mailman – KeyBanc Capital Markets, Inc.: Okay, and then what’s the basis I guess on the loan value 2.79, 3.58 but kind of what your view of the basis with the parking garage?
T. Wilson Eglin: Our funding commitment right now the loan is about $95 million and we can fund up to $98 million.
Craig Mailman – KeyBanc Capital Markets, Inc.: Right, I just need some sort of a price per pound here on the loan, if you I am assuming the parking deck is how much of the total kind of cost of the building is the parking deck verus the office component?
T. Wilson Eglin: Honestly we didn’t look at it that way, we looked at as one overall investment of $98 million of parking garage, will generate a couple of hundred thousand dollars year for us in rent. So the main source of our return is the office itself.
Craig Mailman – KeyBanc Capital Markets, Inc.: Okay, that’s helpful. And then on the hospital construction loan subsequent to quarter end. Can you just give us a sense of what’s the credit profile is of the public hospital system?
T. Wilson Eglin: Yes, the hospital district there is – it’s not a rated district. There are six investment grade districts in the state of Washington. Our underwriting of the credit would have put it in sort of in the BB+ range. So, we were certainly very happy with the credit in our first mortgage position.
Craig Mailman – KeyBanc Capital Markets, Inc.: Okay, and then just kind of more broadly with the land acquisition, the hospital construction loan, you guys are going a little bit outside of the traditional office and industrial kind of mix, you had traditionally. As you look at the pipeline of $300 million to $315 million you’re looking at, how much of that is office industrial versus maybe some of these alternative assets?
T. Wilson Eglin: I would say that the vast majority of what we are looking at is more in the office and industrial space, part of what we have been trying to do is to get a balance between longer leases to counter balance our shorter lease portfolio and we have been and I guess tolerant of acquiring assets outside of office and industrial to accomplish that objective. Our real estate exposure if you will continues to be at least in the shorter lease portfolio almost entirely office and industrial with a little bit of retail exposure. So we would plan on some of these longer lease investments that might not be traditional asset types. We plan on being proactive on exiting those investments while there is still sufficient lease term remaining. So, that they don’t really become part of what we’ve use exposure to real estate.
Craig Mailman – KeyBanc Capital Markets, Inc.: Great, thank you.
Operator: We’ll move now to Anthony Paolone from JPMorgan.
Anthony Paolone – JPMorgan Securities LLC: Wil you’d mentioned that the mix of deals between things that have higher current yield and more residual risk and vice versa the lower initial yields and I guess more residual value. So just wondering what’s your sort of ability or desire that kind of shift that mix when you look at your deal pipeline? For instance if you wanted to get to do more of the New York City type transactions.
T. Wilson Eglin: Yes, Tony, we do have continuing appetite for investments like we did in New York, we just, we felt like the free and clear IRR on that transaction and it’s honestly very attractive to us relative to many of the build-to-suit office buildings that we look at when you plug in empty building value at the lease. So in our pipeline of investments that we have we feel pretty confident about or have good visibility on the cap rates range from 6.8% to about 7.8%. So I guess implied in that comment is that there isn’t anything right now that we are working on that we’d have that low initial yield like the New York land purchase, but we’d opportunistic if more opportunity like that came our way.
Operator: We’ll now go to David Shamis from Jeffries.
David Shamis – Jeffries LLC: Great, good morning guys. You had mentioned that you can adjust about 1.6 million to 2 million square feet of your expirations over the next couple of years to extensions and dispositions. How much of that is going to be extensions and how much is dispositions, and then just more broadly speaking just your comments regarding dispositions of suburban office. Can you just – I guess give me sense of your strategy behind that and your thoughts on mix going forward between office and industrial and then some of these less traditional acquisitions that you’re doing like hospitals, hotel, land leases, et cetera.
T. Wilson Eglin: Sure. Looking at what is going on with the rollover, I would say that about 60% of that will be address through disposition and 40% through extensions or releasing right at the moment. And honestly what we’re working on in the office disposition side is we do feel like, in the portfolio where we have leases of shorter than ten years that we have more exposure to office than we like to have. So we’re trying to be opportunistic about when we reach a point in an assets life cycle where we’ve gotten lease extension or something that’s creating a window for disposition. We do have one shorter term lease that we are working on, which we think could be a good sale back to the user, and the sales of multi-tenant office that simply reflects that somewhere else markets have turned and we either had a lot of success leasing up buildings, or we feel like we are verge of doing that. So that’s simply an opportunity to harvest value and occupancy in those buildings is probably less than our portfolio overall so that probably supports our occupancy statistics a little bit. So, we are focused on balancing the portfolio by longer leases and shorter leases, but we also want to start being a little bit more proactive, trying to get a better mix, have office and industrial in the shorter lease portfolio. Right now we have about $3 of office revenue for every dollar industrial. So that should improve from some office dispositions and it will also improve as we look at our longer lease portfolio and begin recycling capital out of office and residence while there is still 10 years of lease term. We expect to start doing that on a regular basis now, but holding on to our industrial assets on longer leases and letting them coming under the shorter lease portfolio. So I think we want to make steady progress there. We would love it someday if we had an equal mix of office and industrial in the shorter and 10-year lease portfolio, but that will take time to work toward.
David Shamis – Jeffries LLC: That’s helpful. And then just can you give me a sense of the overall market demand for suburban office properties with vacancy or lease expirations.
T. Wilson Eglin: Well, it’s interesting. We are on a couple of buildings that we expect to sell empty. We are getting a much higher price per square foot than we would have thought even a year ago. So there are some bright spots. I would say the demand for single tenant office buildings – if you have a shorter term lease the market is not that deep at all, but if you have lease term there is a pretty good market and the market for buildings where there is lease up opportunity continues to be pretty strong. So I think we’ll do actually quite well on sales next year.
David Shamis – Jeffries LLC: Okay. Thank you very much.
Operator: (Operator Instructions) We’ll now go to William Siegel from Development Associates Incorporated.
William Siegel – Development Associates Incorporated: Well, thank you. Long-time investor in the Richmond deal, you have a law firm with 70%. I guess there is a master developer, but 900 band law firm. Any personal guarantee from these lawyers as opposed to what you may get from a large public corporation?
T. Wilson Eglin: No.
William Siegel – Development Associates Incorporated: Okay. The Shaumburg, Illinois deal with this Career Education Corp, seems to me you were in it for a year before they went south. Any inkling they were going south on you?
T. Wilson Eglin: It was actually the borrower, not the tenants. The borrower didn’t payoff the mortgage upon maturity. CCs in the for-profit school business publicly traded. So you can look up what’s going on there, but it was the borrower who has the issue, not the tenant.
William Siegel – Development Associates Incorporated: Okay. So the tenant remains on you?
T. Wilson Eglin: Yes.
William Siegel – Development Associates Incorporated: Okay, terrific. I guess I’m kind of like the guy with from KeyBanc, CAP markets says you are going – you seem to be moving a little away from your knitting as a single tenant, the hospital, the Richmond building, the Manhattan transaction. Just curious if this is a departure for the corporation. And secondly, will growth in the future more stock issued result in a bigger company, but not necessarily more FFO per share? So where are you headed?
T. Wilson Eglin: Well, I would say the one unifying concept here is that all of these assets are predominantly subject to long-term net leases and what we try to do is find inefficiency in the markets that we know and exploit it. So in the case of the New York City land purchase, we felt that that was just an exceptional risk-adjusted return compared to a lot of the other investments that we see. So on the longer term lease portfolio we do sometimes invest in assets that aren’t typically in the office and industrial space, but the leases are so long that those assets really act more like corporate bonds than real estate. Like I say, we’re trying to keep our focus on the shorter leases toward fairly generic office and industrial and that will continue to be the case. With respect to growth, we are interested in growing the company, but one of the things that we like about our size is that it doesn’t take a gigantic amount of investment opportunity to move the needle for us. So we know if we can find $300 million or $400 million or $500 million worth of new business every year that’s good. We’re not so big that we have to find $1.5 billion or $2 billion worth of business and the single tenant marketplace is a large one, but the more you have to buy to move the needle the more likely it is that you’re probably going to compromise on your underwriting somewhere. So we have…
William Siegel – Development Associates Incorporated: So this is not a declaration you are saying we’re kind of going to move away from the single-tenant model or is it?
T. Wilson Eglin: Not at all. In fact the company, the disposing of multi-tenant is going to become more single tenant revenue in the next 12 months than in the trailing 12 months.
William Siegel – Development Associates Incorporated: Thank you. That is it for me.
T. Wilson Eglin: Thank you.
Operator: And it appears that no further questions. So I will turn the conference back over to our presenters for any additional or closing remarks.
T. Wilson Eglin: Great. Thanks to all of you again for joining us this morning. We continue to be very excited about our prospects for the rest of this year and beyond. And as always we appreciate your participation and support. If you would like to receive our quarterly supplemental package please contact Gabriela Reyes or you can find additional information on the Company on our website at www.lxp.com, and in addition as always you may contact me or the other members of our senior management team with any questions. Thanks again.
Operator: This does conclude our presentation for today. Thank you for your participation.